Operator: Good day ladies and gentlemen. My name is Tasha, and I will be your operator today. At this time, I would like to welcome everyone to the Polaris Infrastructure Inc. Third Quarter 2020 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to your host Mr. Anton Jelic, CFO. Please go ahead.
Anton Jelic: Thanks, Tasha. Good morning everyone and welcome. In addition to the press release as issued earlier today, you can find our financial statements and MD&A on both SEDAR and shortly on our website at polarisinfrastructure.com. Unless noted otherwise, all amounts referred to are denominated in U.S. dollars. I’d like to remind you that comments made during this call may include forward-looking statements within the meaning of applicable Canadian securities legislation regarding the future performance of Polaris Infrastructure Inc. and its subsidiaries. These statements or current expectations and as such are subject to a variety of risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties include the factors discussed in the company’s Annual Information Form for the year ended December 31, 2019. I’m joined this morning, as always, by Marc Murnaghan, Chief Executive Officer of Polaris Infrastructure. Before I begin my discussion, I would just like to share Polaris’ continuing hope that all of you are managing through these unique circumstances and trust you and your families are staying well during these challenging times. At this time, I’ll walk through 2020 third quarter financial highlights and comment on our just announced quarterly dividend. Power generation, consolidated power generation for the three months ended September 30, 2020 and 2019 were 142,194 megawatt hours and 142,435 megawatt hours respectively. Consolidated power generation for the nine months ending September 30, 2020 and 2019 were 490,143 megawatt hours and 426,174 megawatt hours again respectively. These production figures are net of all plant downtime, both planned and unplanned. With respect specifically to Nicaragua, we saw the total megawatt hours of 118,857 in the third quarter of 2020 versus 133,025 in the same period last year. In Peru, total megawatt hours for three months ending September 30, 2020 were 23,337 versus 9,410 in the same three-month period in 2019. Our facility at El Carmen restarted operations in August 4. Revenue, we’ve reported revenue of $17.1 million for the three months ending September 30, 2020, compared to $17.6 million in the same period last year. Revenue quarter-over-quarter in 2020 is down slightly by $1.8 million, driven mostly by lack of production in the El Carmen for much of the quarter lower than anticipated hydrology generally in Peru this year, and downtime associated with our annual maintenance at San Jacinto and Nicaragua. On a year-over-year consolidated basis, we realized $2.7 million additional revenue driven by an additional 12.2 megawatt net production in Peru. Net earnings. We recognized net earnings attributed to us of $1.3 million for the three months ended September 30, 2020, compared to net earnings of $2.8 million for the same period last year. For the nine months ending September 30, 2020, we realized net earnings of $4.7 million compared to $0.8 million loss in the same period in 2019. Adjusted EBITDA, on a quarter-over-quarter basis, adjusted EBITDA decreased to $13 million from $14.3 million principally as a result of a decrease – on a year-over-year basis, the company has realized $45.1 million to September 30, 2020 compared to $44.6 million recognized for the same nine months in 2019. Cash generation, net cash from operating activities for the nine months ended September 30, 2020 of $30.1 million, decreased by $1.5 million from the same period last year, mainly due to $1.1 million increase in our accounts receivable coupled with $2 million increase in prepaid expenses, partly offset by $1.5 million decrease in our accounts payable balance compared to 2019. Net cash used for investing activities decreased for the nine months ending September 2020 by $26.9 million to $2.2 million from $29.2 million in the same period last year, principally due to the decrease in spending related to the construction of the Generación Andina facilities, El Carmen and 8 de Agosto for which construction was completed in late December 2019. Net cash used in financing activities for the nine months ending September 2020 of $1.9 million increased by $1.6 million compared to $0.3 million net cash used in financing activities last year. As a result of $6.5 million more repayment of debt during the nine months ending September 2020, partly offset by $4.9 million higher proceeds from debt issuance compared to the proceeds received from the debentures in the same period last year. Dividend, finally, I’d like to highlight that we do intend on paying our 19th consecutive quarterly dividend on November 30 of $0.15 per share to shareholders of record on November 20. This continues the board and management’s commitment through regular positive distributions to shareholders coupled with an ongoing emphasis on attractively valued accretive acquisitions. With that, I’ll turn the call over to Marc, who will elaborate on current business matters as well as on our quarter end results. Thank you.
Marc Murnaghan: Thanks, Anton. So I’ll make some comments here. Obviously, the maintenance in Nicaragua for Q3, which was planned but that would have a negative impact or did on the quarter. What I would suggest though, just a general comment about the overall production levels at San Jacinto probably a better metric is quarter to date we’re at around 59.3 versus we reported 59.9 in Q4 of 2019. So that is a small drop, but still quite stable and well within the range of declines that we would expect to see. And very importantly it’s quite close to the numerical model that we do have posted on SEDA, which was done by Jacobs where they do several scenarios, one of which is just no more capital reinvestment in the plant. Whatever the declines look like. And this is actually quite low. The good thing is at these levels we’re tracking quite closely to that. So I think that’s very important to note. I think the other thing is that with Q3 we had two things we did expect. It is the dry season improve. So we knew that production was going to be low. But we also did – we got El Carmen back into operation on August 1. So it was not basically producing for July and a few days in August. So, it was call it out of that. But important to note is that this quarter, so all three facilities are in operation. We are coming into the rainy season. So I think that we are coming into a few quarters here where improve, we have the plants running, we should be in better sort of hydrology conditions and no plant maintenance or downtime at San Jacinto, Nicaragua as well. In terms of the EBITDA, what I’ll comment is for the quarter the major maintenance has an impact of about $1.5 to $1.6 million negative. When you combine that with what we had to do for the El Carmen repair costs is that we expensed about $430,000 of repair costs. So that’s actually – that’s an expense item, although we have actually already recuperated some of that from insurance proceeds and we do expect to recover the remaining part. So the full reimbursement on those, but when we do receive the remaining payments, which we think that there’s about 600,000 remaining that would not come into call it the revenue or above the EBITDA line. And then the other is just that it’s hard to give an exact number, but I would say the range, the reduction in quality, but because of the dry season it’s sort of 1.2 to 1.7 negative. So those are all call it the negatives call it the drags on EBITDA for Q. And then the other items on the positive, which I’d say is on the cash and cash flow position, as you can see, our cash position is quite strong. We had, again, because of the LIBOR was very low, Q3 this year versus Q2 three last year, it was about a $600,000 interest rate savings. A very small portion of that is just because there’s a lower principal balance on the senior loans in Nicaragua, but the bulk of that is because of pure rate savings. So that’s a very good savings on the interest rate there, the interest costs. The other thing is that we did – we had Fuji technicians monitoring the maintenance remotely this year. So that is not a huge savings, but it was around $250,000 to $300,000. Again, that’s a CapEx line. So that rather than coming to our operating costs, it’s a below the line, but it is a bump to our cash flow of about $300,000 for the quarter. And as well as the accounts receivable days have come down or came down a bit in the quarter. So that helped the cash position as well. So that’s in the quarter cash improvements. And then looking forward, just want to know that, as I said, I did say before, we do expect to get the insurance proceeds around $600,000 in the current quarter. And then longer term, but it’s our assets, but we – it’s basically value added tax recoverable and that asset is around $5 million that we basically generated while we put the plants into operation, but you don’t get it back and you only get it back through your invoices. So we expect to get that back over three years. But that’s a number that won’t come into the EBITDA line, but it will be a material cash addition call it to the cash flow in through in the next, that’s likely to last over three years, so about a $1.5 million per year. So those are what I call through the operational, financial comments I would make. The Panama the situation is we continue to get ready to mobilize at this point in time given the COVID situation and given just the risks we realistically think that Q2 2021 is a more realistic time to start the project. So that is effectively a one quarter delay from what we are expecting three, six months ago, it’s not material, but we do think it’s proving to the aim for that, as opposed to trying to mobilize and launch in January. Just given the risks of potential shutdown in the construction sector again, which has happened. So, I would say that there’s a small delay there. But we are hoping to start that in Q2 of next year. I would say at a very high level Panama is something we are very much looking forward to getting going. I would – if I was to use a baseball analogy, it’s a single, it’s a good diversification strategy continuation, but we do want to do more. We are looking at more. And given the cash position that we have and the fact that we continue to pay down debt, we do have a low overall net debt position, or low net-debt-to-EBITDA as a company. So I think the next three months to six months is going to be looking at adding some of these other opportunities that that we are looking at that would be either more things similar to Panama, but also hopefully some things that are larger than that to accelerate the diversification we do know that or we do want to diversify, we think the public mark wants to see more of that. And there is a lot of interest in the sector continues to grow. We think that what’s likely keeping us back a little bit is just the fact that we do need to diversify more. The good news is with that balance sheet and what we do think our refinancing opportunities combined with some of the other opportunities in our pipeline. We very much think we’re going to be able to execute on that. Realistically, first thing, Q1 of next year, I think that a lot of the opportunities that we’ve been looking at have had an ability to put things on pause due to COVID. But I think that that’s going to stop in Q1 of next year and people will come back to the table. And I think we’re going to be able to get some other things done other than Panama in Q1 of next year. So with that, I’ll open up the questions.
Operator: Thank you. We’ll now take questions. [Operator Instructions] Our first question comes from the line of David Quezada from Raymond James. Your line is open.
David Quezada: Thanks. Good morning, guys. My first question here just on I guess operationally, I guess just the first quarter now, or you’ve got a – had a couple of months with all three of the hydro facilities in Peru running and appreciate it. It’s a slow quarter in terms of hydrology, but are they all – are they all now operating in line with what you would expect heading into the rainy season here?
Marc Murnaghan: Yes, I’d say we’re still in terms of there’s really two things are the plants operating sort of at your high capacity factor and what’s the hydrology. We are – we’ve noted starting in September, October, the production did has picked up, but more importantly, they all currently 8 de Agosto plants. I’d say still a little bit below what our expectations are, but for sure have much bigger improvement than Q3. And then it’s really – it’s a back half in November, and then really December as to when whether the rainy season is going to be on target. So I’d say we’re trending in that direction, but it is a bit early to tell.
David Quezada: Okay. Okay, great. And then at San Jacinto, there’s some commentary in the MD&A about just like your cycling wells and I appreciate that. I think it relates more to the year-to-date generation than specifically on the quarter. But just wondering if you can comment at all on how those have been trending more recently, if they’ve ticked up maybe subsequent to the end quarter here.
Marc Murnaghan: Yes. I’d say that, if you were to think of really – if you think of 2019 versus 2020, the first half of 2019 still had the effects of what I call 12-5, which was the well that we put on April of 2018, okay, which was a big well. But it can take anywhere from 6, 12, 18 months for both the well and/or the field to stabilize. And we – it was – I would say July or August of 2019 that we saw the field stabilize at a lower level than what it had been with 12-5 call it quite strong for the first half of 2019. But if you were to look at call it the back half of 2019 to now, to me that’s the sort of the baseline was sort of the back half of last year, which we did, we averaged 60.0 net, okay. And we did actually a little bit better than that in the first half. But we did – we’re at, as I said for quarter to date, we’re at 59.3. If you can’t really use the Q3 because of the major maintenance, but so for Q4, we’re at 59.3 versus the 60.0. So I think that’s so the wells, these “site and wells have actually been more stable”, but the overall field is stable and that’s call it a 1% decline, which is right on target.
David Quezada: Okay, great.
Marc Murnaghan: That is what we modeled it, basically a 1% to 3% decline in the upcoming years without any reinvestment in the planet.
David Quezada: Perfect. Okay, great. Thank you. And then just one more for me, just the comments there on the things maybe opening up in terms of M&A opportunities into the New Year. Just wondering if there’s any new comments that you could provide just qualitatively, maybe on the nature of the opportunities you’re looking at, just in terms of geography and modality.
Marc Murnaghan: I don’t – so I think, I don’t think really much has changed other than in terms of geography or type of asset in terms of, because we are looking at some hydro obviously, but other asset classes like wind and solar. What I would suggest is that we’re just the – a lot of the conversations that we started even before COVID and much of them were before COVID, they get put a little bit on hold, but a lot of these situations are call it groups that are incented and want to do something. But I would say that this year a lot of them that those conversations just got put on hold. We are not what I would say losing out to other people coming in. So it’s not as if we’re seeing people coming into these opportunities at all. What we’re seeing is that both sort of buyers and sellers hit the pause button. But the general sense is that, in some cases, for instance, because banks were willing to give forbearance until 2020, but that’s not going to continue in our opinion. So we are going to see a pickup in those conversations and we are now. So – and I would characterize them as you know, we are looking for some other singles like Panama. We are looking at some other things, more like doubles and triples, because I – the one thing that has changed is it may not have call it come into the share price yet. But the – I would say, the interest level in the sector has not stopped. And we are confident that we can find capital on an attractive basis, if we were to do something bigger than some of the things we’ve been doing. So and there’s not a lot of groups that are looking in, call it, the $50 million to $150 million asset class. So that remains open for us. But I think that there’s actually more capital there than there was three, six months ago. So we’re just have to sort of put those two things together in the next three to six months. And so – yes, we’re looking and we’re willing to look at some larger transactions, because I do think, we as a company will benefit from it from the public markets and we need to do something to take advantage of the capital that’s there.
David Quezada: That’s great color. Thanks Marc. Appreciate it. I’ll get back in the queue.
Marc Murnaghan: Thanks, David.
Operator: Our next question comes from the line of Mac Whale from Cormark Securities. Your line is open.
Mac Whale: Hi. I’m wondering if you could just kind of review the annual expectations for each of the crew assets. And I know in your presentation, you’ve given ranges like 29 to 31, I think is – I think that’s Canchayllo and then El Carmen 40 to 50, and then 120 to 135 on 8 de Agosto. I’m wondering if I’m trying to get, I think my seasonalities are wrong, I’m trying to get an idea of how this quarter looks to a typical quarter that you would expect. I mean, those numbers what we should be using for Q3 next year? And so I think there’s two parts to that question, like. Just confirm whether we should be using annual numbers that I just said better from the presentation and then putting context Q3, just so that I can adjust Q2 and Q3.
Marc Murnaghan: Right. So sort of give you a sense of what we would have in our budget for next year for the different assets would be 29 for Canchayllo, we have 45 El Carmen, so that hasn’t changed, Canchayllo hasn’t changed. And we have 120 for 8 de Agosto. So that’s the lower end. Yes, but not okay – it is too early to tell because, I would say that there has been a ramp up. There’s been two things happen this year, which is it didn’t hit the ground at a 100%, right, I know 8 de Agosto, but we’re almost there now. And we do know the hydrology was just low in the area this year. So it’s just too early for us to put a pin in, whether the combination – whether it’s some combination of the ramp up – it is a combination of the ramp up and low hydrology, but we’re still using call it the 120 for next year.
Mac Whale: Okay. Okay. And then just remind me about Q4 of 2019, those – was there something I can read through the MD&A, but I’m just wondering about the – I think the…
Marc Murnaghan: Don’t know – Mac, sorry, but I’ll just – I can’t get it to it later, I don’t have our broken down for Q4 for each asset. But we would have, call it, for fifth – I think I’ve got 50,000 in total for the three assets for Q4. It’s a reasonable percentage. And it would be even slightly higher than that for Q1.
Mac Whale: Yes. That’s okay. That’s where I am for those quarters. I mean, that’s where I was going. I was trying to think of what does that lead for Q4, but I can see how the last, it’s going to take a while to understand that seasonality and I guess same for you guys as well, right. So, okay.
Marc Murnaghan: That gives a lot or quite sharply expected to be low. Like, those really are the low ones. But we were really going to need a full year of operations before you can make comments on the – I would say the hydrology and the real long-term 120, 125, 115, is it 130, but we’re still in that range at least for now. And Canchayllo just so – it’s been very steady since it’s hit COD. It’s been sort of between $0.29 and $0.32. And we also think just given the structure of the plant at El Carmen, it should be a tighter range. Like, maybe it’s $0.40 to $0.45, but that range given the head and the design should be somewhat closer. It’s probably going to be 8 de Agost that has some more variability there.
Mac Whale: Okay. Okay. That’s helpful. Okay. You commented on Panama and then in terms of other opportunities do – has there been any change and I mean, given the – where the balance sheet is and the competence you have in the Peruvian assets. I mean, do you – is there anything that you were kind of looking at or getting close on and then thought, what we – this is not going to move the needle enough? Like we need to, like, I guess the question I’m asking is, how do you view the opportunities and has that changed at all? Like it – and if it has that mean, things do take longer, even though it’s a bigger deal, does it – would it take longer for you to sort of put a pin in it because maybe it’s a little more risky or I’m just trying to get a sense of whether there’s a shift at all in your view of the opportunity.
Marc Murnaghan: So I would say sometimes there’s actually an inverse relationship between size and workload. So we absolutely have turned away things that actually look economically interesting, but might only be five to 10 megawatts. It’s pretty hard to get economies of scale there. And we’re – I would say we’re not here to just please the public markets, but I do think that we need to have broader diversification and sometimes some of the bigger opportunities are actually cleaner. So there has been a – I would say there’s been a – the shift has been probably turning away more of the small ones and looking at some of the – what I’d call something that has actual current operations plus potential pipeliner. But a combo where you are not going to steal the operating one. But you get – a bit of both that you’re looking for. I’d say that’s where we are shifting more to that. Because we do also have some development in our own pipeline that that we can work towards. But so I would say the recognition is or that the thinking is we need to set our sights somewhat higher in terms of the size of the opportunities we’re going at. Because I think we can then really open up, I showed somebody this, but – with our market cap of $200 million, for instance, Boralex is $4 billion now, right?
Mac Whale: Yes.
Marc Murnaghan: There’s not a lot of companies, and especially in this region that are $500 million, $750 million or a $1 billion mark like valued companies. There’s a huge sort of chasm there. So I think, our plan is going to be to sort of get into that size range is quicker than we originally thought, because I think then the opportunity set will open up even more.
Mac Whale: Okay. That makes sense. Okay. And then just last on – you touched on the refinancing possibilities. Has anything changed on that front specifically with Nicaragua?
Marc Murnaghan: Not, what I would just say that we are – we have always discussed the binary in it, right? We’ve mentioned that it’s something that’s discussed. And we continue to be interested in it because we do think it’s a logical next step for the resource. However, you have coming by January 2021, there’ll be only eight years left on the current contract. So and I have mentioned this before with the concept of including the binary extending, acknowledging the fact that the binary is very economic and they realize that. So there are conversations happening. So I think that and those have continued. And so what were – that the high level would be in conjunction with everything we just talked about, but is that if we were able to have call it a longer contract, have a binary included, that’s a natural for the refinancing. So – and we’re thinking that that could be something that is for sure first half of 2021, sort of thing that we have to “market.”
Mac Whale: Excellent. Okay. And just last just Q2 with the expected turnaround on the other turbine?
Marc Murnaghan: So that is a good question. We’re aiming for April. Yes.
Mac Whale: Okay.
Marc Murnaghan: It has not been confirmed, but yes, that’s what we’re looking at right now.
Mac Whale: Okay. Okay, great. That’s all my question. Thanks.
Marc Murnaghan: Thanks, Mac.
Operator: Our next question comes from the line of Naji Baydoun from Industrial Alliance. Your line is open.
Naji Baydoun: Hi, good morning. Just to follow-up on that last question. So the maintenance schedule percentages, and so it would be sort of Q2 next year, sort of in line with what you would usually do. And you’re still targeting some of that two to three week window on that?
Marc Murnaghan: Yes. Yes. I mean, it was – I think, 17, 18 days and we were looking at, I think we will do this unit remotely again for 2021, and then 2022, 2023 we will go back to the – in person, but then flip back to remote just because of the cost savings works so well. But that’s what we’re looking at right now.
Naji Baydoun: Okay. So a bit more cost savings maybe next year, then with the change in the maintenance. And okay, so I just had a couple more questions. On Panama, are you sort of currently looking at trying to contract out the rest of the output from the facility, or are you comfortable just running half merchants at this point?
Marc Murnaghan: Yes, I think, given the size, and we would be such – that we’d be such a small percentage of our overall production that would not be contracted. But we think it’s better to get it up and running and then try. The other thing is with COVID, nobody’s – everyone’s quite in the moment. And so people aren’t really thinking long-term because, they don’t feel the need to contract right now. Both point to [ph] get up and running and then worry about optimizing the contracting situation after.
Naji Baydoun: And I’m assuming you’re looking at maybe other assets in the country as well. If not worth materialize, do you think then it will be a kind of give you more flexibility than maybe contracts larger – a larger portion of the portfolio in that country?
Marc Murnaghan: Yes, absolutely. The – and especially if we can, again – but, I don’t know if we can pull-off, but we are actually trying to do is bringing in an ability to layer in solar and when we marry that up with hydro, we can – the ability to contract goes up dramatically because of the counter seasonality. So that’s something we are trying to do.
Naji Baydoun: And I got a question.
Marc Murnaghan: Yes, that’s another look yes.
Naji Baydoun: Well, I guess just tied to that, you talked about wanting maybe to do bigger deals going forward. Are you already in discussions with other partners, let’s say such as such as Brookfield to maybe help finance some of those larger deals, or is that – or are you looking to do something 100% on your own for now?
Marc Murnaghan: It’s a bit of everything. Yes. So there’s – yes, I would say yes to companies like Brookfield, but there’s other sort of – there it depends on which part of the balance that you’re talking about, but at that level, there’s a lot of different avenues as well as equity call it at the project level, that’s not sort of corporate equity, but so there’s a whole bunch of – if there’s a shortage somewhere, it’s more on the project side than it is on the capital side, I’d generally say right now, so.
Naji Baydoun: Okay. So all of the above approach that you are saying.
Marc Murnaghan: Yes. All of the above.
Naji Baydoun: Okay. That’s all I have. Thank you.
Marc Murnaghan: Okay. Thanks
Operator: [Operator Instructions] Our next question comes from the line of Peter Smith, Private Investor. Your line is open.
Peter Smith: Hi, good morning.
Marc Murnaghan: Good morning, Peter.
Peter Smith: Just a quick question. I know hydro, wind and solar seemed like the most common renewable technologies I see out there, but is biomass or another geothermal project attractive to Polaris?
Marc Murnaghan: Actually an interesting question, I would say biomass. Yes. We don’t have any of those that we’re looking at. We right now we have and I would say the biomass in the region, which is mostly sugarcane at least from my perspective is, there’s a much better business model than wood chips or wood biomass. So – and you can get pretty good contracts because with its base-load. So we don’t have any right now, but we would look at that. And I think these grids will continue to want that type of power, just like they would want geothermal. And we would look at geothermal, we have some geothermal that we’re looking at. I think the only thing that we wouldn’t do right now, at least right now, given our size is to look at something where you need to go and spend $20 million to $40 million in drilling to prove up the resource. I think there are those out there, but I don’t think that’s for us. We would more look at, we have looked at a couple of operating plants that wanted to expand. And so we actually already had sort of some current production, but still they wanted some capital to grow the facility or even for the binary in and on. So we have to look at that. And so we would and I do think there’s going to be a place for geothermal again, coming forward, it’s not as popular as solar and wind right now for some good reasons, but it’s also the only base load, also its renewable. So you can’t build a grid entirely on solar and wind, but I think we’re still maybe a few years away from a lot of these grids recognizing, they probably recognize it, but they’re going to have to differentiate pricing schemes to geothermal, it might take a bit of time for that, but it’s something we for sure keep keeping our eyes on, because I think you’re going to need these types of assets and we have the sort of experience and expertise.
Peter Smith: Yes. That’s what I was curious about is whether you have scarce expertise in that regard, because there’s a lot of hydro, wind and solar out there and a lot of competing players. So do you view yourself as being a scarce resource in that regard, like for your expertise?
Marc Murnaghan: So I would say yes, in terms of the people that are looking at transactions, there’s other companies out there that for sure have it, but it’s more of a niche. The one area that we have – we don’t have anything right now, but we have talked for instance, there are a lot of small mid-sized projects in the Caribbean, geothermal. They actually have geothermal resources, but they don’t have any expertise, quite frankly. We’ve have had those conversations about us coming in as an investor partner, but then for sure, an operator. When we started the plant in Nicaragua for the first three years, the company outsourced the operations to the group that had the expertise and which was a good plan, right after the three years we got rid of the operations contract and it was now we do it ourselves. We have had conversations with other people about us now doing that. So it is something we’re looking at doing, I think it’s interesting. I just think that the only thing we wouldn’t want to do is get into an area where, like to my prior comment, which is if it’s a 3 megawatts to 5 megawatts, small project on an island in the Caribbean, I think that’s just, it might make some economic sense, but it’s too small. So just trying to find something that fits.
Peter Smith: Yes. Thank you.
Marc Murnaghan: Thanks Peter for your question.
Operator: There are no further questions at this time. This concludes today’s call. Thank you all for your participation. You may now disconnect.